Stuart Smith: Welcome everyone to the KULR Technology Group First Quarter 2025 Earnings Call. I'm your moderator for the call, Stuart Smith. Before we begin the call, please listen closely to the following safe harbor statement covering this entire call. This call contains certain forward-looking statements based on the company's current expectations, forecasts, and assumptions that involve risks and uncertainties. Forward-looking statements made on this call are based on the information available to the company as of the date hereof. KULR Technology Group's actual results may differ materially from those stated or implied in such forward-looking statements due to risk and uncertainties associated with their business, which include the risk factors disclosed in their Form 10K filed with the Securities Exchange Commission on April 12, 2024, as may be amended or supplemented by other reports the company files with the Securities Exchange Commission from time to time. Forward-looking statements include statements regarding the company's expectations, beliefs, intentions, or strategies regarding the future and can be identified by forward-looking words such as anticipate, believe, could, estimate, expect, intend, may, should, and would, or similar words. All forecasts are provided by management on this call are based on the information available at this time, and management expects that internal projections and expectations may change over time. In addition, the forecasts are entirely based on management's best estimates of their future financial performance given their current contracts, current backlog of opportunities, and conversations with new and existing customers about their products and services. KULR Technology Group assumes no obligation to update the information included in this call, whether as a result of new information, future events, or otherwise. Now, the call will begin with opening statements from CEO, Michael Mo, followed by the Chief Financial Officer, Shawn Canter. After that, we will conduct a Q&A session made up of the questions emailed in and delivered to the company via social media. With that, let me turn the call over now to Chief Executive Officer, Michael Moe. Michael, the call is yours.
Michael Mo: Thank you, Stuart. This is Michael Mo. Thank you everyone for joining us today. 2025 is a transformational year for KULR, and the transformation is well on its way. With over $100 million in cash and Bitcoin holdings on our balance sheet and virtually no debt. We're well capitalized to grow our battery and AI robotics businesses while our capital market activities in the foreseeable future are geared to turbocharge our Bitcoin acquisition strategy establishing KULR as a pioneer BTC first Bitcoin treasury company. What is a BTC first company? A Bitcoin first company treats Bitcoin not as a side asset or payment option, but as a core pillar of its identity, strategy, and mission. Our journey of transformation is riding the wave of the greatest digital transformation in the human history, intelligence, capital, and energy. Digital transformation of intelligence is AI. Digital transformation of capital and energy is Bitcoin. What are Michael Saylor's 21 rules of Bitcoin is the need to know. In 2024, we were a struggling battery company that needs to know how to survive. We were definitely in the need to know growth. On December 2, 2024, we did a survey on X, asking if KULR should adopt a Bitcoin treasury strategy. The survey received over 100,000 views and over 1500 votes, with two-thirds voting yes. We announced our first purchase of BTC on December 26 for $21 million. Since then, we have amassed over 716 Bitcoins in our treasury. We're now number 30 in the world's top public companies holding Bitcoin according to HODL 15 Capital. BTC acquisition is like buying a digital monopoly business at one-time revenue and growing 60% a year. Would you do it? The answer is, of course you would. Our new capital market activities are to turbocharge our Bitcoin treasury strategy for maximum BTC holding by acquiring this digital monopoly business. We're getting ever more entrenched into the Bitcoin and blockchain ecosystems. We're entering into strategic BTC mining opportunities, because we expect BTC pricing to be higher in the future. We expect our share prices to appreciate with our BTC Treasury strategy and our growing businesses. Our mining arrangement is another way to accumulate BTC at favorable cost bases with less diluted capital market activities into the future. We expect to increase our BTC yield and returns. We have launched a blockchain secured supply chain initiative to safeguard product data to our customers. One of the initial products that will be recorded on the blockchain will include lithium-ion batteries, screen to meet the NASA [indiscernible] 37A testing methods. Each battery that KULR manufactures will have its metadata minted on an NFT on the blockchain. When the battery is purchased, the NFT can be transferred to the customer's on-chain wallet or moved to a burned wallet maintained by KULR to indicate ownership has been transferred. As you know, we've been investing in our KULR ONE battery platform. We're now reaping the benefits of that investment. KULR is entering a pivotal phase in battery innovation, marked by accelerated development cycles, increased production scale, enhanced capacity, and growing technical validation across key sectors. As part of our strategic growth plan, we have expanded our facility footprint to approximately 31,000 square feet, which doubled our battery production capacity. By integrating advanced manufacturing technologies with the in-house battery design expertise, we have compressed development timelines from years to as little as 6 weeks. A prime example of this capability is the successful delivery of our custom certified quarter 1 Space X500 battery to AstroForge for their asteroid mining missions. This achievement highlights the readiness of our production team and the maturity of the KULR ONE space platform to deliver mission critical solutions on an accelerated schedule. Our ability to respond rapidly to new customer requirements also support a capital efficient business model for us to serve many new markets. Our design, testing, prototyping services are cost-effective to our customers while we maintain full ownership of the all resulting intellectual property, ensuring long-term value creation for the company. Further validating our technical leadership, KULR was recently selected by the Texas Space Commission to receive a 6.7 million grant aimed to invest in next generation space battery systems. This initiative supports the development of rocketized battery technologies capable of operating in extreme environments, including temperatures as low as -60 degree Celsius. The commission's strategic vision is to establish Texas as a global hub for space innovation, and a key component of that vision is ensuring a secure in-state supply chain for space-rated energy systems. KULR’s deep expertise combined with this grant and our expanded infrastructure in Webster, Texas will play a critical role in fulfilling that objective. With our proven technical capabilities, scalable operations, and strong financial foundation, KULR is well positioned as the premier source of fast turnaround space and defense grade battery systems delivered at cost-effective price points. Physical AI and robotics will be a multi-trillion dollar market according to many industry giants. The global market for wearable robotics is projected to hit $42 billion by 2033, and we see huge potential across industries that have labor shortages and high physical demands. We believe that exoskeletons present one of the most immediate come to market and revenue opportunities to get into the robotics and physical AI markets. The Apogee is the world's most powerful exoskeleton designed to support and protect workers engaged in heavy and repetitive bending and lifting during the course of their workday. The suit has onboard sensors connected to the cloud via an integrated cellular modem so that health and safety supervisors can use safety and ergonomic data through our enterprise grade, dashboard, and analytics. The number one MSD is lower back pain. And the Apogee was expressly designed to address this huge problem in the workplace. Right now, there are 2 business models that German Bionics is selling into the European market. One is to sell the product for a little less than [EUR 20,000] [ph], or customers can lease the product for about [EUR 20] [ph] a day. I think the customer engagements are about fifty-fifty between product sales and the leasing model. As the exclusive technology and distribution partner for the North American markets, we see this business model to be applicable to the U.S. market. We have a product sales and leasing model at aggressive price points. In the U.S., there are approximately 12 million workers in the manufacturing sector, 8 million in the construction sector, 1.8 million employees in the warehouse and storage sector. But we're facing significant labor shortages across these industries. Every day, these millions of workers across America engage in tough manual labor that include heavy and repetitive lifting as they unload containers, breakdown pallets, take orders, and rebuild pallets for distribution. The Apogee with its powerful motors and sensors seamlessly support this work by preventing assistance in lifting, lowering, and walking. Workers wearing the suit will experience less fatigue, fewer injuries, and will be more productive. For the healthcare sector, we have over 2 million nurses and nursing assistants in the U.S. Home health and personal care aides is about another 4 million workers. The Apogee suit being used in German hospitals has demonstrated that they can dramatically reduce the lower back strain of the nurses when they're helping patients to move around. I'll give you a fun fact. The latest generation of the suit was developed in partnership with some of the most prestigious hospitals in Germany. One of the investments requested by the nurses was to have handles built into the suit for patients to hold on to. Without the suit, patients have been usually holding on to the nurse's neck, which can be awkward and not as effective. Frequently, patients are reluctant to ask for help because they don't want to bother the nurse. With the Apogee suit, patients are more proactive to ask for help. They get up and move around, go outside, and therefore recover better. For the nurses, helping patients become much easier. It's a win-win solution. These suits have sophisticated machine to human interface with sensors throughout the suit that can collect data on how workers use them and how to soothe impact performance and the well-being. We're just scratching the surface on how to apply AI to all these data points. I can give you a few examples. Based on how the user moves and lifts things and how much weight they have lifted for the day, AI can provide recommendations on when the person may be close to fatigue and need to take a break. It can also provide recommendations on stretch and cool down exercises for faster recovery and to prevent injuries. Just remember, these suits reduce the stress, but do not eliminate them completely. So, we still need to take care of the workers. The more the device is used, and the smarter, more adaptive it becomes. One of our customers in the paper cutting business have a couple of these suits in operation. It shows that over 10,000 pounds of weight was compensated during a 2-hour work session for its workers. That's equivalent to an average elephant in just 2 hours of work. That's 4 elephants a day and 20 elephants a week. We're at the cross section of the future of AI, capital, and energy. We believe Bitcoin is not just a treasury claim, it's a strategic and deliberate design choice on which we're anchoring our organization. BTC's properties, limited supply, decentralized control, ethical protocols, transparent governance, unprecedented growth and scale, merit the principles KULR is building around resilience, independence, transparency, and boldness. It's not about hype, it's about building an architecture that can last 100 years. So, rather than watching from the sideline, we're diving in, fully committed to the mission with clarity, long-term conviction, and the courage to explore alternative systems. We're building a foundation that's fueled by digital energy and that prepares us for the future that will be increasing volatile, distributed, and dynamic. I get asked a lot about how we stomach the volatility in Bitcoin. Michael Saylor said it best. Volatility is vitality. In the age of AI where things are changing at [indiscernible] rates overnight. Someone may call it the DeepSeek moments. We better get used to the volatility and avoid our own DeepSeek moment. We fully understand and appreciate the unique position KULR is at in this exciting time in history. Peter Thiel said, courage is a much shorter supply than genius. It takes courage to be different and take on the challenges of this new world. We appreciate you, our shareholders to be on this journey with us as we navigate our way through this highly dynamic, volatile, chaotic, and disruptive future. Next, Shawn Canter will go over our financial and operational highlights. Shawn?
Shawn Canter: Thanks Mike. Let's cover some key highlights now for the first quarter of 2025. Revenue was up 40% from the same quarter last year to $2.4 million. Trailing 12 months revenue ended Q1 2025 is the highest trailing 12 months revenue KULR has ever generated and the third straight quarter of increasing that record. For the first quarter of 2025 versus the first quarter of 2024, product revenue was up 89%, service revenue was down 8%, and we recognized our first Bitcoin mining revenue of $250,000. For the first quarter of 2025 compared to the first quarter of 2024, overall revenue per customer was up approximately 64%, product revenue per customer was up 195%, and service revenue per customer was up 7%. Gross margin for the first quarter of 8% was down primarily due to unanticipated labor hours needed to complete technical projects. For the same period year-over-year, operating expenses were up due to among other things, increases in marketing, insurance, non-cash stock-based compensation, and a one-time non-cash adjustment in the carrying value of an asset. A few points on our balance sheet now. At the end of the first quarter, our cash balance was $24 million. Our current accounts receivable was $2.9 million and we held $55 million worth of Bitcoin. Our total assets were $94 million. Additionally, we had no material financial debts. We ended the first quarter of 2025 with 670 Bitcoin worth over $55 million as I mentioned above, and as an update, as of May 10, when I started to prepare these remarks, KULR holds 716 Bitcoins valued at about $74 million. As a reminder, you'll see an approximately $9.7 million non-operating non-cash expense on the quarter's income statement. This is simply a marked to market of our Bitcoin holdings as compared to [indiscernible]. This does not represent a realized loss. It does not represent that we sold any Bitcoin. In fact, we did not sell any Bitcoin. With the price of BTC over $103,000 as I write this, this unrealized loss would be reversed if marked to market. Two remaining notes. The first regarding our recently announced strategic relationship with German Bionic and their amazing exoskeleton suit. Yes, just like an Iron Man suit. This is a large addressable market. According to Skyquest Research, the exoskeleton market is about $2.5 billion and projected to be about $24 billion in 2031. Due to the reshoring of manufacturing in America, this market is only likely to grow. Again, according to emerging strategy, at the end of 2023, there were 601 unfilled manufacturing positions in the United States. According to Forbes and Manufacturing Today, by 2030, the United States manufacturing sector may face a shortfall of up to 2.1 million workers, costing as much as $1 trillion. With our debt free and strong balance sheet, we can now play offense when special opportunities arise. Through mutual connection, we were introduced to the GB team. We were impressed with the team, the product, and their deep willingness to learn and understand how the human user relates to the mechanical suit and vice versa. By combining the experienced, well trained human user with the power and safety features of a robotic assist, we are pushing more resources to the point and moment of work so that the user can be more productive and safer without having to compromise one or the other. This decentralization theme pushing resources to their most local use can be seen across our platform. We are direct and clear in our belief in the long term value of Bitcoin and our long term plans to the acquires and holders of BTC. We are a leader in the delivery of safe, responsible power across multiple environments and applications via our battery business. Now via our German Bionic relationship, we are empowering and protecting the individual in each moment of work by combining his or her human capability and energy with AI enabled mechanical energy. If you work in logistics, manufacturing, transportation, and baggage handling, construction, warehousing and fulfillment, food and beverage logistics, or healthcare, let's get you in a suit, turn on ultra mode, and show you what we can do for you and your team. Now one last point. A question had previously been asked about our San Diego facility. As we said at the time, once a decision has been made and it was appropriate to share, we would. Well, that time has come. We will not be extending our San Diego lease when it expires in November. We will be consolidating the activity that is in our San Diego facility into our Webster, Texas facility. Back to you, Stuart.
A - Stuart Smith: All right, thank you for that. Now, let's move on to the question-and-answer portion of our conference call today. So, Michael, here is the first question. Is KULR still pursuing a deal with UPS for safe case?
Michael Mo: Oh yes, we continue to pursue a deal with UPS on safe case, on these large size batteries. Yes.
Stuart Smith: All right, very good. Next question, Michael. Does KULR still have a licensing deal with Amprius?
Michael Mo: Well, we have a technology design partnership with Amprius. They are working on some very exciting, high energy and high-power batteries. So, it's a great partnership to work with them and go to market together with our joint markets; together, we're focused on space, DOD, drones, robotics, and industrial applications. So, super exciting stuff there.
Stuart Smith: All right, great. The next question is about SpaceX, and it says, is KULR paying SpaceX to take their tech into space in 2026, or is SpaceX interested in what KULR has to offer?
Michael Mo: Yes. We are paying SpaceX to take our [indiscernible] and our battery into space. This will happen actually in 2027, together with our ultra low temperature battery program, which I mentioned earlier in my prepared remarks about the Texas Space Commission program for the low temperature. So, all these things are coming together on the SpaceX platform.
Stuart Smith: All right, very good. Which of the partnerships or collaborations that have been reported this year, do you think will be the most profitable in the short term?
Michael Mo: Yes, it's a hard one to say which one, but I am equally excited about our KULR ONE space development, as well as our new AI robotics exoskeleton opportunity. And I think that both of them have really good promise.
Stuart Smith: Very good. I think this next question needs a little context for some of our brand new investors. The question is what is the California facility used for now? Those that may not know the main operations of the company have moved very close to NASA here in the great state of Texas in the town of Webster. So Michael, the question is specifically though, what is the California facility used for now?
Michael Mo: Well, thanks for giving that context Stuart to some of the new shareholders and listeners. We are in the process of transitioning all of our California activity, including currently the thermal products, the battery cell screening products, as well as some other business activities to our Webster, Texas facility, and that's all is going to happen between now and end of the year.
Stuart Smith: Okay, all right, next question. What do you say to investors who have been waiting on sales agreements and contracts now that we're in the month of May -- here's a quote, new production-ready facility that was talked about so much last year?
Michael Mo: Yeah. That's a great question. As I talked about in the prepared remarks, we have been expanding our facility in Webster, Texas now to 31,000 square feet, and it's getting it production ready to serve more customers, faster, like the example that I gave, which is AstroForge that we went from design to deliver the product in 6 weeks, not in 6 months or 6 years. So, we expect more of these customer engagements and get them through the pipeline into production faster and higher cadence.
Stuart Smith: Very good. This next question is about our last earnings call, and Michael it says this. Last earnings call, Michael claimed that they expect revenue to at least double by the end of 2025. Did this quarter give you confidence in that regard?
Michael Mo: Yes, we still expect this to happen in 2025.
Stuart Smith: Okay, next question. What are KULR's vision and plan for tapping into providing batteries for the EV industry where battery life and safety has to be a big concern? And it also goes on to say Tesla had issues with battery fires that have affected their business. Boy, it's not just Tesla, Michael. Battery fires, as we all know, are a big problem. That's the question though, Michael.
Michael Mo: Yeah, well, we have provided a lot of battery testing services for large automotive OEMs throughout the years, but the EV battery business in itself is, we believe it's a very challenging one, it has razor thin margins. Sometimes I think from operating basis, it's very hard to make money. So, you can see in the marketplace, it's very tough. So, we have intentionally stayed away from EV batteries as a provider, but we have done a lot of testing for, I think pretty much all the EV vendors in the industry.
Stuart Smith: Very good. Here's our final question for the call today. Does KULR have plans for other battery needs besides the current battery solutions for current customers? An example would be portable generators that don't use gas or propane, small portable battery packs for consumer electronics and mobile phones, etc.
Michael Mo: Right. We are focused on our [indiscernible] platform for space, DOD, robotics, and other, industrial applications at this time. So, the question seems like -- seems to be pointing towards more consumer-oriented products, which, is not the focus for KULR at this moment.
Stuart Smith: All right, very good. Well, once again, that is our Q&A portion of the call today, which also is our final portion of the call today. I would like to thank both the guests from KULR Technology Group, the CEO, Michael Mo, as well as the CFO, Shawn Canter. With that, I will turn the call back over to our operator.
Operator: This does conclude today's conference call. You may disconnect your lines at this time and have a wonderful day. Thank you once again for your participation.